Operator: Greetings, and welcome to the Sidus Space Second Quarter 2023 Results and Business Update Call. At this time, all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Walter Pinto, Managing Director, KCSA. Thank you, Mr. Pinto. You may begin.
Walter Pinto: Good morning, everyone. Thank you for joining us today for the Sidus Space second quarter 2023 earnings conference call. Joining us today from the company is Carol Craig, Founder and CEO; and Teresa Burchfield, Chief Financial Officer. During today's call, we may make forward-looking statements. These statements are based on current expectations and assumptions, and as a result are subject to risks and uncertainties. Many factors could cause actual results to differ materially from the forward-looking statements made on this call. These factors include our ability to estimate operational expenses and liquidity needs, customer demand, supply chain delays, including launch providers and extended sales cycles. For more information about these risks and uncertainties, please refer to the risk factors in the company's filings with the Securities and Exchange Commission, each of which can be found on our Web site at sidusspace.com. Listeners are cautioned not to put any undue reliance on forward-looking statements. And the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. We want to thank everyone who submitted their questions ahead of today's call. At the conclusion of our prepared remarks, we will be answering questions submitted within the time frame allotted for this morning's call. If for some reason we do not get to your question today, please email our team at sidus@kcsa.com. At this time, I'd like to turn the call over to Carol. Carol, the floor is yours.
Carol Craig: Thank you, Walter. During the second quarter of 2023, we achieved several key milestones across virtually all facets of our business. Our mission is bringing space down to Earth. We are a space data-as-a-service and defense-as-a-service satellite company, focused on mission critical hardware manufacturing, multidisciplinary engineering services, satellite design, production, launch planning, mission operations and in-orbit support. During the second quarter, we made further progress on several fronts to produce our advanced hybrid 3D printed satellite constellation for a diverse customer base. Through our advanced technology, we expect to provide a commercial US spaceborne source and method for collecting customizable coincident or multi-censored driven geospatial intelligence and architecture for adaptable on-orbit AI processing to meet government and commercial emission requirements. Over the next 18 months, we have nine LizzieSat mission scheduled with our current launch provider at SpaceX. Recently, SpaceX announced that it will start launching a series of missions, dubbed Bandwagon, that will complement its existing transporter line of rideshare missions. The Bandwagon missions will deliver payloads at altitudes of 550 to 605 kilometers and inclinations of approximately 45 degrees. Those will be in addition to the transporter missions that SpaceX has been flying since 2021, which have gone to sun synchronous orbits. We executed a multiyear multi-launch contract with SpaceX that manifested our satellites on five launches for nine satellites originally planned for the transporter mission. The addition of the Bandwagon missions is exciting, because with our existing contract in place with SpaceX, we have the opportunity to modify our launch cadence and positioning the satellites in order to collect even more valuable and more broadly desired space based data from our sensors. The option to place multiple LizzieSats in these dissimilar orbits, 45 degree equatorial inclination and polar orbits in 2024, gives us the opportunity to improve our Earth imagery refresh rate and provide more valuable and higher revenue generating data for our customers. This similar orbits actually increase the frequency of LizzieSat's revisit rate over the same Earth location, especially in the mid latitudes where most of the population resides we believe translates to more customers. All of the steps we are now taking as we get closer to initiating these launches are to move forward towards developing new, high margin revenue streams driven by the saleable data and payloads on these missions. In line with our focus on developing higher margin revenue streams, during the second quarter of 2023, we significantly expanded our margins period-over-period and nearly doubled our gross margin to 37% year-over-year. The increase in gross margin was the result of an increase in our satellite revenue. For the six months ended June 30, 2023, our satellite revenue was over a 100% higher than full year 2022, illustrating the meaningful steps we have taken towards advancing this new business model. A key factor to achieving this growth is the in-house development of our 3D printed satellites, LizzieSat, our ability to provide space infrastructure, as well as critical data is expected to create a high margin, rapidly scalable recurring revenue business model. Our medium sized LizzieSat satellite is different from smaller QSat satellites and that it allows for multiple sensors and therefore multiple industries and customers to be served from a single satellite. In addition to combining what has traditionally been single source of satellite revenues, we are planning on providing co-incident data from multiple sensors imaging the same piece of the Earth at the same time. This collection approach is special, because it breaks the mold of single use, single sensor satellite that many companies deploy. By imaging the Earth at the same moment in time across several sensor modalities from the same platform, we increase the value of our data services by reducing costly false positives that customers experience and also by reducing collection timelines and cost for customers to same -- the similar datasets. Now that may sound complex but the value is simple and best illustrated via an analogy. Would you rather walk around during your day with just your eyes or how about just your ears, or how about both of your eyes and your ears? And with LizzieSat's plan co-incident collection we'll have both eyes in our imaging payloads and ears with our AIS payloads, as an example, and that combination is tailored to market needs. This combination on the same platform is our special way to approach large markets with valuable same point in time datasets. And with multiple satellites in production at this time, we have made very meaningful progress toward the launch of our LizzieSat constellation. Our years of experience designing and manufacturing bespoke complex space hardware for multiple government agencies and large prime contractors prepares us for the production of our initial cluster of multi-mission satellites. Our integration of edge computing artificial intelligence on satellites was announced in June and is combined with our plans to provide hyperspectral and multispectral imaging and other sensor data. Equipping our multi-mission LizzieSats with these sensors will enable us to provide monitoring services and solutions to multiple sectors and industries in addition to providing rideshare or constellation as a service solutions to additional customers on the same satellite. Our plan is sub 5 meter ground sampling distance, multi spectral coupled with sub 10 meter hyperspectral imagery capabilities provides us with a competitive advantage in serving the $55.6 billion small satellite market. Our LizzieSat satellite with its five year design life is expected to provide a return on investment within months of launch. At a cost of $1.75 million to $2 million per satellite, including sensors, along with our low and fixed overhead, single satellite profitability can be achieved with only a fraction of available data being sold. We believe, however, that there is a demand for all available data and at full capacity the data collected from each satellite is expected to provide a 5 times revenue return on the cost of the satellite within one year. We also have the ability to offer our data at a significantly lower price than what's available in the current market, because of the unique infrastructure we are building to provide this near real time data transmission from our satellites back to Earth, and artificial intelligence is a key component of this. Early in the quarter, we announced our plans to integrate Exo-Space’s FeatherEdge AI data processing platform into LizzieSat. And their AI technology combines both novel hardware approaches and proprietary software techniques to create an Edge AI capability available on every satellite by starting with our LizzieSat-1. We view the successful integration of Exo-Space's FeatherEdge platform into LizzieSat as a important milestone to our success. In our pursuit of business expansion and the creation of shareholder value, we are taking decisive steps to leverage the immense potential of AI technologies within our service offerings. Through AI integration, we are expanding and enriching our services and amplifying our market presence and customer relationships. The integration of Exo-Space's FeatherEdge AI into LizzieSat ushers in onboard edge AI capabilities, encompassing real time data processing, image analysis, anomaly detection, data compression, automated decision making, privacy, security and customization. This strategic leap marks a pivotal moment for the company as we now become poised to attract broader interest and elevate our market influence. This combination of advanced data collection harnessed from our adaptable LizzieSat constellation empowers organizations with heightened decision making acumen, bolstered confidence, precision and accelerated insights. Sidus augments this distinctive data collection with adaptable analytics tailored to individual needs, offering subscription based access across industries. The cumulative impact of Sidus Space's LizzieSat constellation into various industries holds the potential to help how organizations operate and make informed decisions. We plan to monetize the imagery and sensor data collected by our LizzieSat, both through existing end user contracts and through agreements with announced partners, such as SkyWatch and others to sell on their storefronts. We also plan to begin offering hyperspectral and multi-spectral imaging from our first production satellites. Learning from our industry partners is important. And as we analyze the space ecosystem landscape, we continue to believe that production of satellites with the right amount of testing, experienced techniques and attention to long term reliability are the most important factors for the long term success of our mission. Our track record of building complex production hardware for satellites, rockets and future space missions provides us with the necessary foundation to execute our launches and successfully build our LizzieSat constellation. And over the last several months, our customers have grown along with our pipeline for each of our multiple revenue generating capabilities. LizzieSat’s hyperspectral and multispectral imaging capability will provide potential data solutions for a variety of market verticals in the Earth observational market that's expected to reach $25 billion by 2040. Key industries that will benefit and provide markets for this imaging include agriculture, climate change, renewables, mining and oil and gas. And along with the aforementioned technological developments and with the help of an industry consultant, we recently completed an updated go-to-market analysis to characterize the largest opportunities across addressable Earth observation market segments. And unsurprisingly, the defense segment embodies the largest market opportunity, representing an estimated $3.1 billion in market size by 2031. In comparison, the next four largest market segments combined also represent $3.1 billion by the same time frame, and those include national infrastructure, natural resources, climate intelligence and insurance and finance. To address these large markets, we have a vision and plan to capture both government and commercial business. Our plan is to win the government, win the market, a strategy that's proven successful across industries as the commercialization of formally government technology has now become more available to the private sector. And to capture this business, we have concentrated on mindfully growing our sales force but the talent needed to continue to secure government business as well as commercial. During the second quarter, we continued to establish relationships with key new and existing customers with several significant partnerships announced and contracts awarded, further validating Sidus's ability to deliver mission-critical hardware to our key partners and vendors. We were awarded an additional hardware manufacturing subcontract to support NASA's Artemis program and Space Launch System Manned Vehicle or SLS. Sidus will be responsible for the fabrication of the umbilical quick disconnect on the universal stage adapter for the SLS, which is a super heavy lift launch vehicle that provides the foundation for human exploration beyond Earth's orbit, and is key to NASA's Artemis program. The SLS will send the Orion spacecraft, astronauts and cargo, directly to the moon on a single mission, while also being designed to be flexible and evolvable for deep space destinations. Our experience with multiple NASA and defense programs spanning two decades gives us an advantage as we pursue opportunities related to not only Leo but Moon, Mars and beyond. Sidus was also selected by Airbus OneWeb satellite to design and build machine satellite hardware. The space rated hardware will be integrated into the portfolio of aero, commercial small satellites manufactured by OneWeb. OneWeb’s producing satellites for Airbus in support of US Government programs. In July, we were awarded a new subcontract to produce hardware in support of Parsons Corporation's Launch Manifest Systems integration contract. Under the terms of the agreement, Sidus Space will fabricate a master harness assembly and test tables for Parsons. Our successful delivery of hardware for Parsons in the past resulted in this additional contract and we will continue to support this partnership as they execute on their multiyear contract to integrate and operate rideshare payloads in the national security and other US Government missions. These projects underscore our strong position in the space community, where we are playing an increasingly vital role as a manufacturing partner with many of the US space force and NASA's leading prime contractors. In June, Sidus has awarded contracts for two projects with Israeli partners Maris-Tech and Lulav Space by Space Florida under the Florida Israel Innovation Partnership Program. This is the first time Sidus has received two awards from the same round of projects from the Florida Israel Innovation Partnership. Our work with two separate Israeli companies demonstrates the diversity of Sidus's capabilities and capacity for technological advancement. We are collaborating with Maris-Tech on developing a system for peripheral photography, recording, transmission and artificial intelligence for nanosatellites and space tools. The platform will allow cameras in space to take and transmit high quality video and still images and implement edge artificial intelligence algorithms in real time, akey component of our emerging high margin data-as-a-service recurring revenue streams. Sidus is partnering with Lulav to research, develop and demonstrate the benefits of events based Star Trackers, which are planned to be included in our fourth planned LizzieSat mission. Early in the quarter, we announced our initial collaboration with Lulav Space to provide a complete guidance navigation and control solution for both lunar satellite and lunar lander missions. The agreement will bring their next generation GN&C solutions to the US market with two companies offering a robust GN&C suite to support all lunar missions, which can be customized for the unique requirements of each mission. We also recently announced Sidus will host a Star Tracker developed by Solar Mains on its fourth planned LizzieSat mission as part of our payload rideshare program. Sidus will provide payload space for Solar Mains Star Tracker along with launch support, testing and the ability to conduct experiments over the expected five year timeline of the mission with the goal of evaluating the Star Tracker capabilities for the broader satellite sensor market. And Solar MEMS is another example of our on-orbit technology hosting revenue streams. During the quarter, we selected ATLAS Space Operations to expand our ground station services. Adding ATLAS ground stations to our existing global network allows Sidus to deliver high value critical satellite data to our customers within minutes after collection. This increase in LizzieSat constellation’s high quality rapid data transfer to customers solidifies Sidus Space as a leader in space and defensive service solution. And in May, we signed a service agreement with Leaf Space, another leading provider of ground segment-as-a-service solution. This agreement progresses the broadening of our ground station network and extends the availability of our Earth observation data to both established and emerging markets. Leaf Space's autonomous scheduler technology allows us to access 17 additional global ground stations, reducing latency and improving the overall quality of our service. We also signed a Memorandum of Understanding with SkyServe, an in-space edge computing solutions company offering satellite based insights for core industries and solution providers through their insights-as-a-service platform. The MOU will expand our ability to leverage the latest advancements in artificial intelligence and machine learning based analytics to provide our customers with the most advanced satellite imagery services available today. And another highlight to mention is our Mentor-Protégé relationship with L3Harris. In April, we announced that Sidus was selected as a protege with L3Harris Technologies for the Department of Defense Venture Program, which helps businesses expand their footprint in the defense space contracting space by partnering with larger companies. We have been supporting L3Harris for many years building satellite hardware and other mission-critical components for their divisions. Our support for L3Harris has grown over the years and continues to do so as we expand our manufacturing facility to [indiscernible]. Moving now to corporate highlights. During the quarter, we strengthened our Board and management team. In April, we announced the appointment of Leonardo Riera to our Board of Directors. With more than 35 years of experience in Investment Banking and Funds Management, we were pleased to welcome Leo onto the Board. We also recently appointed Jessica Curry as Senior Vice President of Supply Chain. With over 20 years of experience in the aerospace sector, Ms. Curry brings a wealth of knowledge and experience to her new role. As we scale up production of our AI driven hybrid 3D printed LizzieSat satellites, we're focused on streamlining and maintaining a reliable supply chain. And in June, we appointed Jared Novick as our Senior VP of Strategy and Special Projects. Mr. Novick has a diverse and extent work experience spanning various industries and roles. He started his career in 2002 as a research scientist and experimentalist at the National High Magnetic Field Laboratory. From 2004 to 2008, he worked as an intelligence community civil servant, collaborating with the US Intelligence Community, Department of Defense and Foreign Partners. In 2008, he joined the Office of Secretary of Defense focusing on managing special projects and supporting a portfolio of special capabilities across the Department of Defense and US Intelligence Agencies. Continuing his career in 2008, he became a part of NASA's high-altitude operations and research team where he contributed to the organization's operations and research efforts until 2015. And an entrepreneur as well we found in [CurveSky], a company that was later acquired by SRI International. Now, before I turn the call over to Teresa for a review of our financial results during the quarter, I want address the inquiries we have received from shareholders regarding our recently filed form S3 registration statement. After the one-year anniversary of our IPO, we became eligible to have a Form S3 shelf registration statement on file. After consideration of the industry trends related to S3 filings, our team and our Board found it prudent as a public company with eligibility to have the shelf registration statement filed to provide our company with further financing optionality for growth if we decide to use it. I also want to address our plan for NASDAQ compliance. Similar to some of our other public space peers, we received a deficiency notice from NASDAQ related to the trading of our share price for 30 consecutive business days below the $1 minimum closing bid price requirement. We've provided a compliance period of 180 calendar days to regain compliance with the applicable requirements and have until September 11, 2023 to regain compliance. We currently meet the market value of publicly held shares requirement for continued listing and all other initial inclusion requirements for the capital market apart from our market price. If we're not in compliance by September 11, 2023, we may qualify for a second 180 calendar day compliance period. We continue to be focused on managing our expenses to remain lean even as we grow and approach the most significant milestones in our company history with our upcoming launch schedule. Having strong financial backing gives us the ability to accelerate and take advantage of opportunities as they arise. And as Teresa will discuss in more detail, our overhead is expected to continue to remain low relative to our peers even taking into account our continued growth. And with that, I will turn it over to Teresa to discuss our second quarter financial highlights.
Teresa Burchfield: Thanks, Carol. It's a pleasure to be here today to discuss our second quarter 2023 financial results. You can find more details on our results in our Q2 Form 10-Q filed with the SEC Monday, August 14, 2023. Sidus achieved revenue of $1.4 million for the second quarter ended June 30, 2023 compared to $1.8 million for the same period last year. While revenue declined period-over-period, primarily due to the timing of fixed price milestone contracts, our higher margin satellite revenue increased 126% year-over-year. As Carol mentioned, our gross profit was approximately $508,000 or 37% for the quarter ended June 30, 2023 compared to approximately $347,000 or 19% for the second quarter of 2022, an increase of 1,800 basis points. The increase in gross profit margin was primarily attributed to the mix of contracts and an increase in our higher margin satellite business. Second quarter operating loss was $3.5 million compared to a loss of $2.4 million for the same period last year. Overall, operating expenses increased approximately $814,000 to $3.6 million for the three months ended June 30, 2023 as compared to $2.7 million for the three months ended June 30, 2022. The increase is attributed to an approximate $470,000 increase in our payroll expenses to $1.9 million from $1.4 million for the three months into June 30, 2022, a result of the expansion of our staff to support the needs of the business, an approximate $251,000 increase in professional fees for the three months ended June 30, 2023 to $383,000, primarily driven by increased general legal expenses related to being a public company, as well as reviewing various corporate matters, such as contracts and licenses supporting the growth of the business. Moving to our capital structure. We remained focused on managing our operating expenses closely with only a small amount of debt on our balance sheet. As of June 30, 2023, the company had debt of approximately $2 million with cash of $7.9 million. During the quarter, the company executed a common stock and warrant offering in which the company sold an aggregate of approximately 34.1 million shares of our Class A common stock and common stock equivalents, as well as warrants to purchase up to approximately 34.1 million shares of Class A common stock. Gross proceeds from the offerings were approximately $11.2 million. Please reference our June 30, 2023 10-Q for additional details. We are using the proceeds to continue to execute our strategic plan, including continued satellite development at an accelerated pace and to fulfill a steady launch cadence, as Carol mentioned earlier. With that, I will hand the call back to Carol.
A - Carol Craig: Thank you, Theresa. We will now move to the Q&A portion of the call. We received some submitted questions from investors that we would now like to address. So our first question is, what is your vision for the company over the next year? Well, we are working diligently to introduce new high margin recurring revenue streams to our three core business lines, and those are manufacturing services, space infrastructure as a service and space based data and insights. And the last two coincide with the proposed launch of our multiple LizzieSat satellites into orbit. These launches will be a major step as we work to build a satellite constellation capable of delivering industry leading coincident data from multiple sensors, imaging the same piece of the Earth at the same time to current and future customers with near real time data transmission. And we believe that this new revenue stream has the potential to significantly impact our profitability and as a result, our stock is valued by the market. Our second question is with all the hype around artificial intelligence and your planned integration of edge computing, confident space economy benefit from these technological advances. And I will let Jared Novick, our Senior Vice President of Strategy, provide an answer to this one as it is a key part of our strategic plans for the next few years and beyond. Jared?
Jared Novick: Thank you, Carol. AI technologies provide immense potential for enhanced data collection and processing capabilities in particular. As Carol mentioned on the call today, we are focused on leveraging these technologies within our service offerings. By integrating AI technology into our constellation, like Exo-Space’s edge AI capability, we're expanding and enriching our services at the hardware and software level on orbit. These edge AI capabilities will facilitate real-time data processing, image analysis, anomaly detection, data compression, automated decision making, privacy, security and customization. The combination of advanced data collection and advanced processing will equip organizations with heightened decision making acumen, bolstered confidence, precision and accelerated insights. This enhanced functionality of LizzieSat will amplify our market presence and customer relationships. This will allow us to attract broader interest and elevate our market influence.
Carol Craig: Thanks, Jared. Next question is how much data can the satellites transmit and what are the costs of this? And I mentioned this a little bit earlier, our LizzieSat satellite with its five year design life is expected to provide a return on investment within months of launch. At a cost of $1.75 million to $2 million per satellite, including sensors along with our low and fixed overhead, single satellite profitability can be achieved with only a fraction of available data being sold. But again, we believe, however, that there is a demand for all available data and at full capacity, the data collected from each satellite is expected to provide a 5 times return on the cost of satellite annually. We also have the ability to offer our data at significantly lower price than what's available in the current market because of the unique infrastructure we're building to provide the near real-time data transmission from our satellites back to Earth. And the amount of data is driven by the systems onboard LizzieSat and the number of ground stations available for transfer of data to Earth. We expect to collect between a 100,000 to 200,000 megabytes of data per day per satellite with the ability to process that data on orbit for a more targeted transfer of useful and high value data. Next question is, what contracts do you currently have with NASA? Well, we've been supporting NASA directly and indirectly through its large prime contractors for over a decade, and we continue to do so today. One of our significant areas of expertise is the manufacturing of complex space rated and ground support hardware, including assembly integration and testing. And we manufactured several key pieces of assembly and integration equipment for the Lockheed Martin Orion program. We also developed manufactured qualified and delivered systems for the universal stage adapter for the Artemis program and we continue to support the follow-on SLS programs. We manufactured and tested a significant number of electronic control cabinets and wire harness assemblies for NASA's mobile launcher 1 launchpad and then we are currently today contracted to develop and deliver a number of electronic control cabinets and wire harness assemblies for NASA's Artemis mobile launcher 2. We also manufactured and tested the T - 0 umbilical environmental control system and hazardous quick disconnect plus flight and ground wire harness assemblies for NASA's core stage of the SLS. We developed the [indiscernible] servicing system for the Boeing Starliner CST-100, which provided thermal controls to vehicle electronic control systems. We developed a number of assembly and integration systems in support of the Dream Chaser vehicle for the International Space Station commercial cargo contracts. We manufactured and tested multiple propellant and fluid pneumatic control systems in support of the Kennedy Space Center base modifications and upgrades, which followed the completion of the shuttle contract. And we completed thermal vacuum testing of newly developed space station lighting assemblies for NASA's International Space Station as well. We currently have multiple customers who are actively engaged in a variety of NASA contracts and for which Sidus is a manufacturer of hardware and equipment. And those include United Launch Alliance, SpaceX, Blue Origin, CSCI, Collins Aerospace, Rockwell Automation, L3Harris, Jacobs Technologies, Northrop Grumman, Parsons and Ferriton, to name a few. When we strategically decided to expand our business by moving up the satellite value chain to become a provider of scalable on-orbit infrastructure, which includes satellites and space based space and Earth observational data, we signed a contract with NASA to integrate and demonstrate for the first time autonomous operations developed by NASA's Mars Campaign Division in a spaceflight environment on our LizzieSat satellite. And that contract was followed by a contract with the next phase of this NASA autonomous satellite technology project, which we believe will provide us with a pathway for growth related to deep space missions. We have been tasked to support development of a NASA Stennis' communication center, the ASTRA Payload Operations Control Center at the South Mississippi Center. And this operations control center will tightly integrate with the Sidus Mission Operations Center in Cape Canaveral during on-orbit operations. And with that, I would like to thank you all for joining us today for Sidus Space's second quarter 2023 earnings conference call. The progress we made over the second quarter demonstrates that we are advancing in our mission of bringing space down to Earth. We achieved several key milestones across the business, particularly in production of our advanced hybrid 3D print satellite constellation for our diverse customer base. We believe Sidus is positioned well for business expansion and value creation, and we appreciate the support of our investors and partners. We look forward to providing further updates on our progress. And I will now ask the operator to close the call.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.